Operator: Good day ladies and gentlemen, and thank you for standing by. Welcome to the DXP Enterprises Incorporated 2010 first quarter results conference call. During today’s presentation all parties will be in a listen-only mode, and following the presentation the conference will be opened for questions. (Operator Instructions) Now, I’d like to turn the conference over to Mr. Mac McConnell, Senior Vice President of Finance & CFO. Please go ahead sir.
Mac McConnell: This is Mac McConnell, CFO of DXP. Good evening and thank you for joining us. Welcome to DXP’s 2010 first quarter conference call. David Little, our CEO will also speak to you and answer your questions. Before we begin I want to remind you that today’s discussion will include forward-looking statements. We want to caution you that such statements are predictions and actual events or results can differ materially. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis is contained in our SEC filings. Our first quarter press release is available on our website at www.dxpe.com. I will begin with a summary of DXP’s first quarter 2010 results. David Little will share his thoughts regarding these results. Then we will be happy to answer your questions. Sales for the first quarter decreased 6.7% to $147 million from the first quarter of 2009. Sales for precision supple chain services decreased 10.8% to $31.4 million, compared to 2009 first quarter sales of $35.2 million. Sales of innovative pumping solution products decreased 31.9% to $12.3 million, compared to the 2009 first quarter sales of $18 million. Sales of MRO products by our service centers decreased 1% to $103.3 million, compared to $104.3 million of sales for the first quarter of 2009. When compared to the fourth quarter of 2009, sales for the first quarter of 2010 increased 6.6%. First quarter 2010 sales for precision supply chain services declined 5% compared to the fourth quarter of 2009. First quarter 2010 sales of innovative pumping solution products declined 1% compared to the fourth quarter of 2009. First quarter 2010 sales of MRO products by our service centers increased 11.9% compared to the fourth quarter of 2009. Gross profit for the first quarter of 2010 decreased 8.9% from the first quarter of 2009, compared to the 6.7% decline in sales. Gross profit as a percentage of sales decreased to 28.5% from 29.2% in 2009’s first quarter. The decrease in the gross profit mix is primarily the result of the effect of the economy and product mix in the MRO segment. SG&A decreased 10.6% compared to the 6.7% sales decrease. This decrease is primarily the result of decreased payroll related expenses, combined with a $500,000 reduction in amortization of intangible assets. As a percentage of sales, SG&A decreased to 23.9% from 25% for the first quarter of 2009. SG&A for the first quarter of 2010 as a percentage of sales declined primarily as a result of reduced payroll related expenses due to the reduced headcount. Interest expense decreased 32%, primarily the result of reduced debt and lower market interest rates. On January 11, 2010, an interest rate swap which had been in place since January 10, 2008 expired. This interest rate swap effectively fixed the LIBOR rate on approximately $40 million of debt at 3.68% costs of margin, and effect onto our credit facility. This rate was approximately 345 basis points above the actual LIBOR rate during the fourth quarter of 2009. On March 15, 2010 we amended our credit facility. This amendment significantly increased the interest rates and commitment fees applicable at various leverage ratios from the levels in effect before March 15, 2010. The amendment increased the cost of funds borrowed under our credit facility by approximately 200 basis points beginning on March 16, 2010. During the first quarter of 2010, we reduced total long term debt by approximately %5.3 million to %110.2 million from $ 115.5 million at December 31, 2009. During the first quarter of 2010, the amount available to be borrowed under our credit facility increased approximately $6.3 million to $43.6 million. On April 1, 2010, we closed on the acquisition of the business of Quadna. On April 1, we borrowed $14.5 million to fund the $14 million cash portion of the purchase price, and tie a $500,000 success fee to advisors for the acquisition. The $500,000 fee will be expensed from the second quarter. On April 1, we also issued $10 million of convertible notes to the seller of the Quadna business. These notes bear interest on an annual rate of 10%. On April 9, 2010, $4.5 million of these notes, plus accrued interest were converted to 376,417 shares of common stock. I am happy to report that the tone of our business has improved from 2009. Sales per business day increased from the preceding month, each month as a first quarter. Now, I would like to turn the call over to David Little.
David Little : Thanks Mac and thanks to all our participants on our conference call today. We see our first quarter as a turning point towards the future economic cycle of growth for DXP. Growing the top line and the bottom line is certainly a whole lot more fun and rewarding for everyone. Our focus continues to be the consolidated administrative functions for cost savings and process improvements, and decentralizing customer service to capitalize on growth opportunities by being customer driven. Our management team is in place and in fair plans our NOI met with company goals. We have maintained investments and people and new products to position DXP for the sub-turn in the economy. Our gross strategies are solid and proven. It is all about the execution and commitment by each DXP employee to provide excellent customer service. Operational excellence; by doing a days work in a day error free, creating Super Centers, relationship building to meet customer needs, supply chain cost savings for our customers. Quality marginal pumping systems at a fair price, these are the qualities that will set DXP apart from our competition. We are also very pleased with the people and the results of or latest acquisition Quadna. Jeff Wright and his team, plus the DXP team are working hard together to capture all the best practices and value of both companies. When you look at our three segments, the DXP service centers, MRO group, is focusing on growing Super Centers. We still have 23 Super Centers and 14 under construction. It is worth noting that our fourth quarter of 2009 for the first quarter of 2010, sales are up 12.13%. Innovative pumping solutions is starting to see more activity, and our investments in our new HP profile is starting to pay off. The first of 2010 compared to fourth of 2009 was virtually flat, and we believe this is the bottom, and we should start seeing some improvement going forward. Supply chain services is down 5% from the fourth quarter of 2009 compared to first quarter of 2010, and we do expect this business to turn positive growth in the second quarter. We have significant presence in the oil and gas, chemical, mining, food and beverage and general industry, and we fell like these markets are all improving. Again, I would like to that all our participants on our conference call today. I also want to give recognition to all the DXP people for their efforts; you do make a difference, and thanks to our shareholders for their financial support and faith in DXP. We are now open to questions.
Operator: (Operator Instructions) Your first question comes from Matt Duncan - Stephens Inc.
Matt Duncan - Stephens Inc: The first question I’ve got and Mac you touched on this a little bit. You said your sales got better in each month throughout the quarter. I don’t know if you can give us a little more clarity in to what the trajectory looks like, and did that trend continue into April.
David Little: April is right in line, it’s flat to better than March, and each month had gotten better.
Matt Duncan - Stephens Inc: I don’t know if you want to quantify this for us or not, but can you talk a little bit -- I don’t know if you’re willing to tell us what your monthly sales, what it was in March and April, just to give us some idea to where the business sits today.
David Little: I guess the day sale, the business day basis in January $2,262 million; February it was $2,358 million per day; March was $2,482 million per-day. So the average for the quarter would have been $2.371 million per-day.
Matt Duncan - Stephens Inc: That’s helpful. So there’s no question things are getting better throughout the quarter. Is there any one customer group that stands out as leading that charge or has it really been across all of your customer groups; but just stating to see improvement.
David Little: It’s really across the board.
Matt Duncan - Stephens Inc: And is there any that is a lag there? The energy guys, are they recovering right along with everybody else or is that they maybe a little bit behind.
David Little: I think the energy is right in there with them.
Matt Duncan - Stephens Inc: On the sequential decline in supply chain services, can you give us a little bit of color into what led that, and why you’re confident that those revenues would start rolling again here is the second quarter?
David Little: I guess we were sort of disappointed. We thought we would turn the quarter in the first quarter, or rather I believed that that way. The [RCE] which amounts to $1 million is complete, and so we don’t really have any business that is falling off the books so to speak. We are implementing -- I’ve already added good air, and we are implementing that, and that’s growing. The Coca Cola bottling side, we are adding that and that is growing. Two new deals, Revlon and [Inaudible] is a couple of new deals we have, but the main thing is, just like the general economy is getting, we fell like our customers are purchasing more, so they are not purchasing less, they are all adding people and getting back to work, which is the incremental business with existing accounts, and then along with these new accounts, then plus the fact that we don’t have any significant business falling off of the books, we really felt like we were turning the corner in the first quarter, but its going to be the same quarter.
Matt Duncan - Stephens Inc: David, I guess if I’ve got my math right here, it looks like it would have been up sequentially if not for the impact of winding down Hershey.
David Little: I am not sure how much Hershey was still left in the first quarter, and I don’t really have a good answer for that. Again, like I said I’m surprise that it really kind of has turned out that way. I will say that March was significantly better than January and February.
Matt Duncan - Stephens Inc: That’s helpful. On Quadna, last conference call you guys weren’t in a position to really talk about numbers for Quadna. I don’t know if now maybe you can give sort of us some general sense for what the outlook is for that business that you acquired. I know in the press release when it was finalized, you gave us an in idea where revenues were there last year. Can you talk about sort of what that Quadna business is seeing in its end markets, and how you expect it to perform this year?
David Little: In talking about the markets, Phoenix is tied to real estate and municipal and it was pretty soft in ’09. They are seeing some come back of that business, but they are still none the less starting to grow from where it was. The other piece of business I have is mines. Copper mines are again not quite where they were like from the BE up against the measurement, but it’s $4 for something, we’ll find out in time if there is something, but $4 is a maximum number. As we’ve approached that 350, things are getting better in the copper mining business, and then lastly oil and gas, and we are just real excited about the capabilities to put together a module pumping systems just like we do, and they have a much stronger backlog and a much stronger booking relative to their size, and so that business is doing really very well.
Matt Duncan - Stephens Inc: Okay, and then the last thing I got is a small item. I noticed on your cash flow statement in the press release, there is a $1.4 million positive impact from proceeds from the sale of businesses, what was that?
David Little: The sale of the asset Lucky Electric, which basically made up our electrical contract or segment.
Operator: Your next question comes from Joe Mondillo - Sidoti & Co.
Joe Mondillo - Sidoti & Co: I was wondering if you could touch on the gross margins. You said that they came down sequentially just due to the product mix, but just could you go into a little more detail there, and how should we think about that going forward?
David Little: Those sorts of margins were down from a year ago. They are actually up from the third and fourth quarters, and really not that different from the second quarter.
Joe Mondillo - Sidoti & Co: Okay, the fourth quarter had a couple of one timers…
David Little: Yes, but above the third quarter was 28.4% and the first quarter was up. In 2010 it was 28.5%, but we don’t see it as a real adjustment in the plan.
Joe Mondillo - Sidoti & Co: Okay, so do you accept that to sort of keep around this 28.5%, or how are you looking at that going forward?
David Little:
Joe Mondillo - Sidoti & Co: Okay, how about the pricing, the ISM came up today and the pricing index there was just 78 I think. What’s your pricing environment?
David Little: Our suppliers’ prices are going up, and then the key is for us to be able to pass those on to our customers, which we historically don’t have really a problem in doing it. I think it was pretty difficult in ’09 to do that, so sometimes we weren’t successful, but typically we are and typically I would think that most people do feel that commodity prices are going up, and that interest rates will eventually have to go up. So I think that’s why price increase is not really a big issue today.
Joe Mondillo - Sidoti & Co: Okay, and then on the IPS side of the business, could you just go into a little more color on what you are seeing how your order trends are doing, and what your backlog is in that business?
David Little: The backlog is actually pretty flat, and we think that’s a good sign. Our quoting activity is way up, and of course it will need a lot of practice; quoting things we’d like from returned orders. Then we are encouraged big time by Quadna’s backlog and the activity they are having onshore. A lot of our stuff, our longer term projects, they are offshore, that can be overseas, and I think we have had a role of activity, but we see a lot of signs of people pushing forward with projects, especially projects that are all related more so than gas.
Joe Mondillo - Sidoti & Co: Have your orders began to start to pickup?
David Little: The backlog is just up slightly.
Operator: There are no further questions in the queue. Ladies and gentlemen, this does conclude the DXP Enterprises Incorporated 2010 first quarter results conference call. Thank you for your participation and you may now disconnect.